Operator: Good morning, ladies and gentlemen, and welcome to the AZZ Inc. Fourth Quarter and Fiscal Year 2017 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please also this event is being recorded. At this time, I would like to turn the conference over to Joe Dorame of Lytham Partners. Please go ahead sir.
Joe Dorame: Thank you, Denise. Good morning and thank you for joining us today to review the financial results of AZZ Inc. for the fourth quarter and fiscal year 2017 ended February 28, 2017. As Denise indicated, my name is Joe Dorame, I am with Lytham Partners and we are the Investor Relations consulting firm for AZZ Inc. With us on the call representing the company are Mr. Tom Ferguson, Chief Executive Officer; and Mr. Paul Fehlman, Chief Financial Officer. At the conclusion of today’s prepared remarks, we will open the call for a question-and-answer session. If anyone participating on today’s call does not have a full text copy of the press release, you can retrieve it from the Company’s website at azz.com or numerous other financial websites. Before we begin with prepared remarks, I would like to remind everyone certain statements made by the management team of AZZ during this conference call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Except for the statements of historical facts, this conference call may contain forward-looking statements that involve risks and uncertainties, some of which are detailed from time-to-time in documents filed by AZZ with United States Securities and Exchange Commission, including the Annual Report on Form 10-K for the fiscal year ended February 28, 2017. Those risks and uncertainties include, but are not limited to changes in customer demand and response to products and services offered by the company, including demand by the power generation markets, electrical transmission and distribution markets, the industrial markets and the hot-dip galvanizing markets; prices and raw material costs, including zinc and natural gas, which are used in the hot-dip galvanizing process; changes in the political stability and economic conditions of the various markets that AZZ serves, foreign and domestic; customer requested delays of shipments; acquisition opportunities; currency exchange rates; adequate financing; and availability of experienced management and employees to implement the Company’s growth strategies. The company can give no assurance that such forward-looking statements will prove to be correct. These statements are based on information as of the date hereof and AZZ assumes no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. With that said, let me turn the call over to Mr. Tom Ferguson, Chief Executive Officer of AZZ. Tom?
Tom Ferguson: Thanks, Joe. Good morning, and welcome to our fourth quarter earnings call. Our fiscal year 2017 was a challenging year for both from operating segments and marked the 30th consecutive year of profitable operations. We are proud of this record of consistent profitability and strong cash generation. Our PEI enclosure systems and Alpha Galvanizing acquisitions performed outstandingly well during the year. We completed the realignment of the U.S. Galvanizing side so that they can attain our normal Galvanizing segment margins. As promised, our new plan at Reno became profitable in Q4 meeting our internal plans. Our results in Q4 were disappointing. As we face continued contraction in our markets due to the economic fallout of the low oil patch activity, lower solar opportunities and a continued low level of major refinery turnarounds. Our Galvanizing segment focused on protecting the margins and maintaining price levels as zinc cost escalated. We may have given up some market share resulting in lower revenue than anticipated. Westinghouse is a fair sized customer for our medium-voltage bus and NLI businesses. So they announcement a few weeks ago that they were declaring bankruptcy helped us understand the delay some of our Energy businesses were experiencing on jobs and change orders during Q4. This resulted in our Energy Segment, which is normally very good at forecasting the quarterly performance, significantly missing their forecasting in Q4. Also, as expected, our oil patch related businesses and tubing and hazardous duty lighting continued to experience weak volumes due to low rig activity. The fourth quarter is seldom a strong one for WSI due to the winter period not being conducive to major turnaround and outages. After starting off fiscal year 2017 with a strong first quarter, we struggle the remainder of the year to gain traction in several of our businesses. Much of the shortfall can be attributed to market headwinds or customer issues beyond our control, we have to acknowledge we probably took on too many major new initiatives without having the critical resources in place to ensure they expected timetable for returns was realized. While we have great leaders in AZZ and significantly improved our functional capabilities, our tendency to keep our corporate staff lean may be hampering our ability to drive the number of major initiatives we’ve taken on. The corrective actions we have already initiated based on the issues we faced in Q3 and Q4 are as follows: we have expanded the Energy marketing role to include Galvanizing and mainly focused on revamping our market activity indicators and forecasting process corporate wide; we’ve implemented a formal key initiative review process to ensure these activities get the same focus as the day-to-day operations; but we also reduced the number of initiatives to those that are mission critical to our growth and profitability in fiscal year 2018; we brought in some outside help to drive operational improvement across the businesses with greater accountability and effectiveness; we also brought in some outside help to improve our major procurement of capital deployment processes; We’ve built key human resources leadership roles to improve talent development and all the better leadership patch and improve our performance management processes. We modified our short-term incentive programs to better align payouts with operating income and cash flow results. We’ve increased emphasis on both bolt-on acquisitions as well as larger scale businesses that our operating models. We’ve been working at most of these things for the past few months and are already seeing traction in most areas. We have great people and very dedicated and experienced leaders within AZZ to implement and execute these strategic initiatives. I’m committed to ensuring that happens as early this year as possible. We’re already well into our first quarter of fiscal year 2018 and are still working through the impact of the Westinghouse bankruptcy filing. While we are beginning to see more activity in the Galvanizing arena, we’re still not seeing much improvement in refinery turnarounds activity this season. We had a very good first quarter last year and will struggle to top that performance this year. For the balance of fiscal year 2018, we feel good about most of our business and believe we will have a solid impact from a major initiatives particularly on the operational improvement side. We’ve adjusted our guidance for fiscal 2018, primarily due to the potential impact on a medium-voltage bus and NLI businesses from the Westinghouse bankruptcy. We are revising our fiscal 2018 EPS range to $2.60 to $3.10 per diluted share, from $2.85 to $3.15 per diluted share and our sales $880 million to $950 million from previously issued $900 million to $970 million. We still see most of the topside opportunity that brought the low end of the range down to be prudent. And with that, I’ll turn it over to Paul.
Paul Fehlman: Thanks, Tom. For the fiscal year 2017, we reported net sales of $858.9 million, a decrease of $44.3 million or 4.9% compared to the prior year. Net income for fiscal 2017 was $60.9 million, a decrease of $15.9 million or 20.7% compared to the prior year. Reported diluted EPS decreased 21.3% to $2.33, which included the effects of an $8 million realignment charge taken during the year. Our backlog finished at $346.4 million, up 3.6% versus last year. Gross margins fell to 23.8% from 25.5% year-over-year, while SG&A as a percentage of sales grew slightly to 12.4% from 11.9% year-over-year, driving in operating margin of 11.5% compared to 13.5% in fiscal 2016. Our effective tax rate increased from 26.4% in fiscal 2016 to 28.1% for fiscal 2017, as some of our finite opportunities from prior periods delapsed and we posted a 22.6% decline in cash flow from operations year-over-year, down $32.4 million to $111.2 million. As for our full year segment results, fiscal 2017 revenues in our Energy Segment were down 3.5% to $483.4 million compared to the prior year. While operating income decreased 11% to $52.0 million compared to the prior year. In our Galvanizing services segment, full year revenues decreased 6.7% to $375.5 million compared to the prior year, while operating income decreased 16.5% to $79 million, which included almost all of the realignment charges taken through the year compared to the prior year. Looking at fourth quarter fiscal 2017 performance, on a consolidated basis, we reported revenues of $193.8 million, net income $11.6 million and reported diluted EPS of $0.44 as compared to $217.6 million in revenues, $16.1 million of net income and reported diluted EPS of $0.62 the same quarter last year. A fourth quarter book-to-bill ratio of one yielded the backlog that grew to $346.4 million. We expect to ship 36.8% of that backlog outside of the U.S. As for our segments in the fourth quarter, revenue for the Energy Segment decreased to $112.1 million as compared to $117 million in the same quarter last year, a decrease of 4.2%. Operating income for the Energy Segment decreased 23.8% to $9.6 million compared to $12.7 million in the same period last year. Operating margins for the fourth quarter were 8.6% for the quarter as compared to 10.8% in the prior-year period. Revenues for the Galvanizing segment for the fourth quarter were $81.6 million compared to the $100.6 million in the same period last year, a decrease of 18.8%. Operating income for the Galvanizing segment was $18.4 million as compared to $23.1 million in the prior period, a decrease of 20.5%. Operating margins for the fourth quarter were 22.5%, off slightly compared to the 22.9% in the same period last year. We continue to believe that our ability to generate cash and our strong balance sheet are two of our core strengths. And coupled with the access to liquidity under the new banking agreement, we can support growing our operating platform. During fiscal 2017, we used our cash to purchase Power Electronics as well as invest in organic growth initiatives. We paid down debt in the amount of just under $55 million, increase the quarterly dividend to $0.17 per share for our shareholders and began to repurchase shares starting with $5.3 million during the year. For fiscal 2018, we expect to continue to focus on driving returns on capital, cost control and cash generation, and we expect to achieve an effective tax rate closer to 31% for the year. Although, there may be variances between quarters. With that, I’ll turn it back to Tom for concluding remarks. Tom?
Tom Ferguson: Thank you, Paul. To summarize, I believe, we have the capability within AZZ to perform better as we execute on our strategic initiatives, positioning us as the leader in infrastructure protection. We have been focused on a lot of great things in terms of organization development, training, improving our talented bench and positioning for growth. We have streamlined our activities but still have several great initiatives underway. And with the key – most of the key resources now in place, we are committed to driving them faster and more effectively to generate significant top and bottom line growth in fiscal year 2018. Our fiscal year 2017 was a challenging year primarily due to the weak market conditions, we believe we have taken the steps necessary to address the shortfall so we’ll see the positive impact in 2018. We had anticipated a better turnaround activity level in the spring season, but it’s still somewhat muted although, we are getting a lot of coating activity for the fall and increasing international opportunities. The markets for Galvanizing have strengthened already, but we believe we should have a much stronger second half of fiscal year 2018 verses fiscal year 2017. We are finally seeing significantly higher levels of petrochemical activity moving forward, and also fall season turnaround inquiries have increased. Several of our mission critical initiative should also be generating both revenue and margin improvement as the year progresses. While the investor manufacturing mood is better, we are still not seeing that translate to higher investment spend, and we remain unsure what the federal government might do with infrastructure investment. More importantly, we are not just hoping for improved markets, but are actively focusing on margin improvement and accelerated M&A activities. We anticipate closing a couple of bolt-on deals in Q1 and have a very solid pipeline of small to medium-sized deals on the near-term horizon. Thank you. And now we will open it up for questions.
Operator: Thank you, Mr. Ferguson. We’ll now begin the question-and-answer session. [Operator Instructions] The first question will come from John Franzreb of Sidoti & Company. Please go ahead.
John Franzreb: Good morning, Tom and Paul.
Tom Ferguson: Good morning, John.
John Franzreb: Okay. Could you just talk about how Westinghouse for the fourth quarter results and maybe some little bit of discussion what the impact will be going forward?
Tom Ferguson: Yes. I think I can give you some color on that. We had a couple of things. We couldn’t recognize some service revenue, because we were still working on change orders and struggling to get those through. Paul can probably quantify how much that was, but it was several million dollars of revenue. And then we also had shipments waiting on the dock, where we just couldn’t get approval to ship. And I can sense some of our business unit’s frustration with that because they had it in their forecast and have stuff ready to go and it can’t get to approve the ship. So that was in the fourth quarter. As we look forward, we have two areas that I’m concerned about. Paul will probably elaborate. One, we had booked to ship for Westinghouse in our plans when we had given the previous guidance. And then secondly, we are concerned about some of the receivables we have hanging out there that depending on how the bankruptcy goes and where we end up in the queue for some of these things, what’s collectible and what we might have to write off. So those are my areas of concern.
Paul Fehlman: Pretty good. John, I’ll elaborate with a couple of things. One, at the end of the fiscal year and therefore during the fourth quarter, it was actually pretty small amount of accounts receivable out there. It was – we wouldn’t be talking about if that was all if there was. So we’re talking about a mix of small amount of – in our plus the stuff that we did not invoice somewhat carrying, some whip or some finished goods on that as Tom said on the one side. And going forward, he’s exactly right. It would be more of – there’s little bit of uncertainty as to what exactly is going to happen when it’s all the filings on this, what exactly is going to be collectible or not. And we do have debt financing so anything that we ship going forward and get going with now is probably going to be pretty solid in terms of credit. What we’re interested in this, what happens to these projects in the long-term and we’ll just all have to watch the press for that. But so far, there seems to be some positive things being said, that’s about it.
John Franzreb: Okay. And against that backdrop, can you just talk about what are your plans for nuclear logistics now that you’re going to have to absorb the business again?
Tom Ferguson: Yes, we’ve merged that under our – with Westinghouse, I mean, sorry, WSI. I’ve got Westinghouse on the mind. But with WSI under that leadership team, which does a couple of things for us: One, WSI has – because there’s so seasonal way, they’ve got a strong functional back office groups of finance and HR and legal and that cannot be leveraged to support NLI. And secondly, they’re working aggressively to integrate their nuclear sales organizations because WSI does have that nuclear welding overlake portion of their business and the salesforce that addresses that. And then particularly on the international side, there is really strong opportunities as we bring those two teams together in. The Vice President of that business has already been very actively working on those integration activities and we’ve seen the benefit of that. Our focus in NLI’s going to be maintaining a solid level of business, but really looking to manage it for profitability. And it is. It’s got good profitability, we think it could be better. It’s not going to be a growth business for us given the dynamics in the nuclear sector right now. But its gives us the opportunity to kind of leverage the overhead structure at WSI and NLI as we put those together and operate them pretty much in tandem. So that’s our plans as it stands right now.
John Franzreb: And Tom, when do you think that the combination we complete?
Tom Ferguson: It’s effectively done. They’ve been working on it since February. So it’s together, they’re having a kickoff sales meeting. They’ve done a lot of work on the sales side already, but they’re having a kickoff meeting, I think, next week. But the operational and back office integration complete and we see a lot of WSI folks over here in Fort Worth at NLI now. So we know that’s an ongoing exercise. We’re going to run it for a nice $50 million business and it’d be a nice business unit for us. We think we’ve got upside on the profitability piece given the leverage. And so it’s embedded in our plans and its running very safely. You got a good management team and its only risk right now is what happens with its Westinghouse businesses. They’re both in their backlog as well as they are looking to expand their alliance with Westinghouse as we look forward this year.
John Franzreb: Yes. One last question I get back into queue. It seems like last quarter you were more optimistic about the refinery turnarounds in the spring season. What’s changed from then to now for you?
Tom Ferguson: Yes. What’s changed is we just didn’t see some of the – we still have a lot of – we had a lot of emergency work in the fall season, but it didn’t – most those just didn’t turn into bigger jobs as we used to – as we’re used to seeing. So as we were entered the spring season, we’re seeing an activity, but it continues to be mostly smaller projects, and they’re not – we’re not seeing the normal opportunities to really get turn these from $0.5 million jobs into $5 million jobs. So the refineries tend to be still kind of patchy. But we’re seeing bigger opportunities as we now look into the fall. And also, we’ve not seen, other than some jobs in Mexico, we haven’t seen some of the bigger jobs, we normally have seen in historically in India and Southeast Asia. We’re seeing some activity in China, and we’re seeing things pickup in India as well and we’re finally seeing some activity in Brazil. But all of those are kind of longer gestation cycles type projects. So we just don’t see them breaking in into spring. So that’s kind of what’s changed. We’re seeing the activity, but it’s not breaking as fast and it’s not propagating into larger jobs the way we’re used to.
John Franzreb: Okay. All right, thanks. I’ll get back into queue.
Tom Ferguson: Okay.
Operator: [Operator Instruction] The next question will be from Noelle Dilts of Stifel. Please go ahead.
Noelle Dilts: Hi guys, good morning.
Tom Ferguson: Good morning.
Noelle Dilts: My first question, I wanted to focus a little bit on Galvanizing. Can you give us a flavor for sort of the price and volume in the quarter, how they’re played out even this directionally because we’re trying to get a sense and then play there? And then how you’re thinking about book price and volume as we move into fiscal 2018? And if you could give us a sense of sort of what you’re expecting in terms of growth for the segment as well as how to think about margins? That would be helpful. Thank you.
Tom Ferguson: Yes, I’ll answer. I’ll give you an overview, but Tim Pendley is sitting here. I’ll let him answer in more detail. Our focus is still and we’ve remain committed to try to sustain that segment at 25% operating margins and that’s what the teams been doing. As I noted, I think we gave up some volume. As we did that and also as we saw our zinc cost escalating through the quarter and we were adjusting prices upwards to account for that, which is why we did sustain fairly decent margins but not at the 25%. As we’re now into this year, we’re seeing our normal margins, and we’re seeing some volume as well. So we’re going to try – we’re monitoring that very closely. We’ve got some good tools in place that’s helping us do that. But I’ll let Tim give you the deeper perspective. Tim?
Tim Pendley: Thanks, Noel. When we look at – yes, pricing, we’ve been pushing pricing up even relationship to the increase in zinc cost. Competition has been reluctant to move in that direction and that’s just challenged some of our…
Tom Ferguson: Volume.
Tim Pendley: …volume. The other thing is we look – we are seeing a balancing of volume uptick. March was ahead of what the previous six, seven months work. So we finally we feel like we have hit the bottom there and then bouncing back up. And we also expect solid growth going into – solid results going in fourth quarter – third, fourth quarter.
Tom Ferguson: And then we do have Galvanizing where we’re transitioning to calling the middle coatings. And the reason for that is they do have their continuous galvanized rebar plant opening up. It’s in fine tuning and test right now. They’ve got their first coal located powder coating facility opened up in Crowley, shortly. So we’ve got a lot of good growth initiatives going on there that we’re going to start to see the benefit of those. While there a little delay in the – we see those paying off this year.
Noelle Dilts: And then from a regional perspective, would you say that Gulf Coast is still probably most competitive or how are you thinking about just the trends that you’re seeing throughout the country?
Tom Ferguson: Yes, the Gulf Coast, Texas, Louisiana, Oklahoma, they’re all patch-related areas there with the economy. It’s interesting because you’re in North Texas, we’re doing pretty well. Lots of construction, still business is moving in so you’ve got the construction activity, you’ve got a normal industrial activity. But as you go into South Texas and along the Gulf and Louisiana and then up in Oklahoma, that’s where we really impacted. In the west, we’re impacted by reduction in solar business but we’re picking up some other stuff. And so I’ve mentioned, Reno is now starting to percolate long and so we see some opportunities there. And we don’t anticipate solar is going to come back anywhere close to what it used to be. So that will – but we are finding other business. But in Texas, Oklahoma, Louisiana, that’s just the big chunk of the economy.
Noelle Dilts: Yes, okay. And then you mentioned that you think you may have been a little bit lean in terms of some of the management structure. Can you give us some thoughts on how to think about that moving forward and how to think about SG&A given maybe adding in some cost there but also pulling back a bit on some of these initiatives?
Tom Ferguson: Yes, I think, couple of things. We’re talking about a handful of people and most of those are already in place or they’re in places on a full-time consulting arrangement. Tim and his group has added an operational improvement executive in – to both run in engineering but also drive on these initiatives and drive operational excellence even more than they have. Every one of the groups has resources in place. But some of that’s fairly recent within the last few months. So you’ve already seen some of the run rate expenses going through in, but it’s not huge. You should still – we’re going to stay lean, we’re going to be smart about how we do it. But – and we’re putting more emphasis on how we manage and getting realistic about when these things are going to generate either revenue or income. So I think part of this realism, part of it was or something we just needed – they’re longer-term, obviously, the digitized galvanized system. We stop at 3 plants in order – we’re being very measured about what are the benefits and then what would be the timetable for rolling that out across 41 whereas we were just kind of rolling along on it. But that just one example of how we’ve adjusted the priorities and taken a breath to make sure that we’re able to generate the benefits that we anticipated. So it’s not going to – you’re not going to see our SG&A spike up very much at all, if any.
Noelle Dilts: Okay, appreciate it. Thanks.
Operator: And the next question will be follow-up from John Franzreb of Sidoti & Company. Please go ahead.
John Franzreb: Sticking with the Galvanizing business. You kind of alluded to it not just couple of minutes ago but also in the press release. You can expect revenues to be better in the second half of the year. It’s short cycle business. What gives you that visibility and confidence that revenue profile is going to be better in the second half of the year versus the current run rate you have now?
Tom Ferguson: Yes, two – for me, its two things and Tim may want to add some more color to it. But One, we are seeing some of the larger projects, the petrochemical things and we’re seeing those starting to queue up. And of course, we get involved in those later cycles. So as those are queuing up, we just anticipate when we’re going to see fabrications to galvanize and steel to galvanize based on that cycle. And then secondly, we – there’s a couple of things: One, we are going to get couple of these acquisitions that have been lagging done and we have Reno up to full tilt. With these 2 new Metal Coatings type plans are going to be at full bore. And so we would view – I view it that we’ll absolutely see improved activity even if – or improved revenue, even if we don’t see a tremendously more robust infrastructure investment. But we are seeing some of these large projects, which do two things. One, whether we win the project or somebody else does, it sucks up some of that Galvanizing capacity in the market, which is good for, usually good for us and also good for pricing.
John Franzreb: Okay. And can you just help me understand the some of this. Did you say that you are not going to roll out the rebar product as quickly as you previously expected? Is that what you just said?
Tom Ferguson: No. We’re opening up the rebar plant this month in Catoosa. And – but we are going to take a couple of months or so to evaluate what – one to get it fine tuned, two to get it loaded and make sure that we’re generating the kind of capacity out of it that we expect. It’s a first of a kind in the U.S. and so we want to make sure that there will be some equipment adjustment and things like that. So we’re delaying than doing the second or third plants until we have a deeper understanding of what the investment is, what the equipment needs to look like and is this doing what we expected it to do in other customers. We built it so the customers going to come, and so that’s it. We’re just – it’s maybe a quarter of a delay from teeing up another one and that’s assuming everything goes forward as we anticipate.
John Franzreb: Okay. And against that what would be your total CapEx number be for 2018 then?
Tom Ferguson: I think you should probably expect it for 2018 to be about where it was in 2017. Yes, maybe even a little bit lower.
John Franzreb: Yes. I guess, one last question. You had some deferred M&A due to NLI. You said that you’re looking to maybe close on something in the first quarter. Can you just give us a sense of which side of the business you’re looking at. Maybe a little bit size of scale, any kind of color would be helpful?
Tom Ferguson: Sure. In the short-term that we’re looking on the Galvanizing side and in this both fits, we’ve – couple of Galvanizing plants, maybe another type of metal coating that would fit. Not huge, typical bolt-on the size of like we did last year in Alpha Galvanizing, it’s under $10 million and just bolted-on integrated and driving to the margins that we like to generate. In the pipeline now, we do have a couple of electrical, traditional electrical deals that fits with our portfolio on up and exotic and then we’ve got some more Galvanizing type deals.
John Franzreb: Okay. Thank you, Tom.
Tom Ferguson: Very nice fits with our legacy portfolio.
John Franzreb: Got it.
Operator: Next question will be follow-up from Noelle Dilts of Stifel. Please go ahead.
Noelle Dilts: Thanks. I was hoping you could just comment on more of your – a bit of your electrical products business, so what you’re seeing in tubing and lighting duck side and enclosures? Thanks.
Tom Ferguson: Sure. I think in tubing and lighting we believe do that there are things that have bottomed. They’re doing a little better as we come into the new fiscal year. We’re seeing their backlogs improve, their coating activity improving. We cuts about as much cost out of them as we could. So any improvement goes through pretty quickly now. And they are seeing more activity. In part of that they’re focused on more customers and they’re chasing some other types of businesses. So we feel good, we feel like we’ve bottomed in – its brighter future for us. On the enclosure side, enclosure has been okay. We’ve – I think we had a really good years I mentioned PEI enclosure business fit right in and they had an excellent year, in addition to our traditional enclosure business in Pittsburg, Kansas. The inquiry activity is a little lighter than we probably like at this point. We have decent backlog to work with and we want to make sure we’re trying to maintain our focus on value pricing and that give up margin. So I would say we’re super challenged on filling that backlog, but we are keenly aware that the markets not more robust on enclosures right now. But we’ve got some activity and we’ve got decent backlog through the first part of the year then we’ve got a fill in the back half. So we’ve got some time to do that and we see some opportunities out there. And our Switchgear business is doing very well. So as well as our high-voltage bus business has a really strong backlog, a lot of that is the international opportunities, some of which we’ve announced. So we’re feeling pretty good about that. And then medium-voltage bus, it’s just a question of what happens with some of this nuclear stuff that they have backlog on and what they need to recognize some revenue on.
Noelle Dilts: Okay, thanks. That’s really helpful.
Tom Ferguson: All right.
Operator: And ladies and gentlemen, this will conclude our question-and-answer session. I would like to hand the conference back over to Tom Ferguson for his closing remarks.
Tom Ferguson: All right. Thank you very much. Once again, we feel very good about where the company is and where we’re going. We’ve got a lot of great things going on. And while we struggled through the fourth quarter, we feel good about fiscal year 2018, we’re kind of glad to get 2017 behind us. And we’re very focused on growing the business, maintaining the profit margins with that folks are used too. And getting more acquisitions done that fit within our traditional legacy portfolios. So that’s our commitment. We look forward to the next call and giving you all an update at the end of the first quarter. Thank you very much.
Operator: Ladies and gentlemen, the conference has now concluded. Thank you for attending today’s presentation. You may now disconnect your lines.